Operator: Good morning, and welcome to the Designer Brands Inc. First Quarter 2023 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Justin Fischer, Director of Investor Relations. Please go ahead.
Justin Fischer: Good morning. Earlier today, the company issued a press release comparing results of operation for the 13 week period ending April 29, 2023 to the 13 week period ended April 30, 2022. Please note that the financial results that we will reference during the remainder of today's call exclude certain adjustments recorded under GAAP unless specified otherwise. For a complete reconciliation of GAAP to adjusted earnings, please reference our press release. Additionally, please note that remarks made about the future expectations, plans, and prospects of the company constitute forward-looking statements. Results may differ materially due to various factors listed in today's press release and the company's public filings with the SEC. The company assumes no obligation to update any forward-looking statements. Joining us today are Doug Howe, Chief Executive Officer; and Jared Poff, Chief Financial Officer. Now let me turn over the call to Doug.
Doug Howe: I want to begin by thanking our team for their continued hard work throughout the quester. Given the strength of our first quarter last year which was propelled by the strong return of fashion, coupled with this year's broad based pressure on the consumer, we anticipated our first quarter would face headwinds. That being said, the environment was slightly more difficult than we expected. I was pleased with how our team stepped up to read and react to an increasingly promotional environment, and at the same time, manage our inventory level appropriately across both our retail and brand segment. In the first quarter, Designer Brands net sales declined 10.7% compared to the first quarter last year. As I just mentioned, the first quarter of 2022 was a robust period where we saw a net sales growth of 18.1% year-over-year. Additionally, our US retail store traffic was up 22% last year, significantly outpacing the market. Despite the negative trend that the retail industry has been experiencing since the fourth quarter as well as the sequential down trend in February, March and April of this year, we are continuing to see increased customer demand in the casual segment of our offerings. However, the increase in casual sales were not significant enough to offset the decreases in our dress and seasonal businesses within our most important [indiscernible] selling season. Specifically, we saw a sharp pullback in seasonal products, particularly sandals, which were down 14% in women's and down 8% in men's in the quarter in our retail segment. Conversely, we saw strength in our overall casual category within DBI with women's up 7% and men’s up 4% in the quarter compared to the prior year, and we are leaning our ability to flex and pivot our assortment to offer even more of the casual brands they want. To mitigate the impact of changing consumer preferences, we quickly altered course, increasing our promotional drivers as we move through the quarter. As we've mentioned frequently over the past year, we have been strategically building back our clearance inventory offering, providing our value customer segment options at lower price points, and we were able to leverage this further during the quarter. Our US clearance business comps were up 5% on a net basis during the quarter compared to last year. Despite the softness in the quarter, we continue to be encouraged by the progress we are making against our long term strategy of doubling sales of our own brands from 2021 to 2026, while editing and amplifying with our top national brand partners. We continue to see bright spots in owned brands, particularly in the casual category and are very excited to continue integrating our new brand acquisition into our portfolio. We're pleased with the progress we have made in the quarter growing own brands penetration to 27% of DBI net sales. As a reminder, over the last year, we have acquired Keds, Le Tigre, and Topo Athletic, all of which we anticipate will help to fuel growth for total DBI and provide for a diversified complement to our dress and seasonal powerhouse brands that will continue to benefit us over the long term. Now I'd like to briefly dive into each of these. Let's start with an update on Keds. We are continuing to integrate Keds and are pleased with the performance of the brand to date. Keds saw positive wholesale growth versus its performance last year under Wolverine's ownership and is performing in line with our acquisition expectations. Hence recently launched a brand refresh focused on honoring individual expression through playful optimistic style. Our first product collection that celebrates individual self-expression is focused on the Keds champion sneaker, our original sneaker and icon. Keds champion sneaker is reinterpreted with different silhouettes celebrating our iconic style, versatility and staying power. The [Court] (ph), which launched recently, is a new style within the collection that pays homage to tennis heritage and has been success with both in line offering as well as our recent collaboration with recreational habit experiencing very strong sell through in multiple points of distribution as well as on keds.com. Le Tigre is planned to launch in late summer just in time for the back to school season. This brand provides us with another unique opportunity to offer fashion forward athletic footwear at a reasonable price point and furthers our own brand reach into the athletic category. Much like Keds, it's a heritage brand with a rich history. It offers great versatility and lifestyle and approach, and we anticipate customers will be excited to see this online and in stores. Lastly, Topo. This acquisition gives us a specialty athletic brand that we intend to lean into across channels, from wholesale and DTC to Topo's already meaningful international distribution. We remain on track with our integration plans and are excited about the potential of this brand. These three brands will strengthen our positioning in the athletic category, while moderating Designer Brands penetration to dress and season, creating less volatility related to weather and fashion trends. In fact, during the first quarter, we saw strength in our owned athletic brands relative to seasonal and dress categories. In addition to these three, we are excited to announce that we are working on closing an agreement to become the exclusive licensee of the Hush Puppies brand in the US and Canada. A stellar addition to our comfort and casual categories and own brands. Our DSW segment has been the exclusive retail outlet for Hush Puppies for over two years now, and this agreement now opens up the opportunity for us to wholesale the brand in the US and Canada, as well as operate hushpuppies.com, which will be our sixth independent ecommerce site. The Hush Puppies brand showcased robust growth in the first quarter at DSW with growth up 400%. This also brings design and sourcing of comfort casual product into our business model, which has meaningful upside for our own brand portfolio. I also want to touch on the performance of several of our legacy owned brands. Specifically in the casual category. First, Lucky continues to be a standout with women's sandals up 10% to last year. We've seen trend driven demand for Lucky motivated by the resurgence of denim and more western style. This drove sales of 8% in our DTC channel at DSW in the first quarter compared to the prior year. Crown Vintage also performed well and we are pleased with the momentum we are seeing as we continue our celebrity partnership with Emma Roberts, which includes her specially curated styles and storytelling around the latest spring collection. The collaboration drove 4.6 million media impressions over a five day period in April. We made meaningful progress in the men's space, expanding our assortment beyond dress and serving our male customer across categories with a focus on expanding the casual and hybrid assortment. We are seeing encouraging results within this category with both our Vince Camuto and Crown Vintage casual business. Vince Camuto's men's DTC is up 87% for Q1. We are offering him a breadth of assortment in casuals across different types of construction, sportier technical construction and versatile dress hybrid. Several new styles include the introduction of our [Fly 365] (ph) technology. This is an important step for our Vince Camuto brand as it is the beginning of a journey of engaging with our male customer in an expanded manner. Turning to Crown Vintage, our men's Crown Vintage business is up 32% in Q1 with the growth driven by casuals. Crown Vintage is currently the number five brand overall for men's at DSW. In a similar way to our approach to Vince Camuto over the last year, our focus in Crown has been to grow the casual and dress hybrid assortment for the brand with a focus on natural based materials such as canvas, chambray and other cotton based materials. Our strength in ecommerce continued across many of our brands and our collectiveownbrands.com’s DTC performance showed solid growth compared to last year. With vincecamuto.com delivering and 8.3% comp. In addition, topoathletic.com and keds.com both delivered meaningful new DTC sales to Designer Brands. As we focus our brand building efforts, we continue to find moments to showcase our brands with engaging events, including several at the end of the quarter that generated excitement and drove traffic in stores and online. Lucky Brands celebrated festival culture during Coachella, hosting a desert mirage themed event featuring surprise performances and exclusive giveaways for guests, including a customization station for trucker jacket. The influencers and attendants were dressed from head to toe in styles from Lucky Brands' festival collection, which featured footwear and handbags in crochet and natural leathers, reflecting the cool festival vibe of that moment. Vince Camuto created their own buzz at Coachella, treating VIP guests, celebrities and influencers to the [Chobello] (ph) Festival Fashion Experience, an homage to the Vince Camuto spring campaign titled Chobello. Additionally, in mid-April, Jessica Simpson celebrated the launch of her spring-summer 2023 collection of apparel and shoe silhouettes. The collection was inspired by Jessica's love of all things denim and features platforms, wedges and slides and amazing fabrics, bright colors, and hot metallics, sure to inspire our devoted Jessica Simpson customers to complement their looks this season. Complementary to these own brands initiatives, we are committed to our national brand strategy and growing strong relationships with the largest national brands that are most relevant to our retail customer base. We are focused on editing and amplifying our national brands acting as a top point of distribution for our consumers. As part of our edit and amplify strategy, we are excited to build on our partnership with Nike, which strengthens our position as a leader in the footwear and athletic space. This plan will elevate in October this year. Our partnership with Nike will allow us to provide an athletic offering across men, women's and kids that gives our customers a premium, physical, and digital assortment. Before I hand it over to Jared, I want to quickly touch upon our guidance that he will discuss in more detail in a few minutes. While we've had a slightly more challenging start to the year than anticipated, I am still quite proud of the quarter we delivered on top of outsized market leading growth in the first quarter of last year. With this in mind, I am cautious about the balance of the year and mindful of several dynamics. First, we continue to see a consumer pressured by a macroeconomic environment, a factor that is now expected to be more impactful than originally anticipated. Second, the first quarter is a critical time frame for our business as [indiscernible] is one of our two biggest selling periods of the year. Given that we have seen weakness across our original expectations coupled with the consumer continuing to lean into value, we will continue to leverage an increased promotional and clearance strategy in the second quarter. As a result of these elements, we are lowering our sales and earnings guidance for 2023. That being said, we do believe these trends are temporary and expect to see improvement later in the year. With that, I'll pass it over to Jared. Jared?
Jared Poff: Thank you, Doug, and good morning, everyone. I want to reiterate Doug's comments and echo how proud we are of this organization's ability to manage through the current challenging macroeconomic environment. We remain on the path to evolve our business model as we demonstrate the power of our brand building capabilities, and I am pleased with the progress we have made on our journey to date. As you heard from Doug, it was a challenging first quarter, particularly on the top line, and our adjusted EPS came in slightly below our expectations at $0.21. With the strong first quarter performance last year in both our retail and wholesale segments, coupled with the challenges of the current environment, we had communicated that the first quarter would most likely be our most difficult by far from a year-over-year comparison on both the top and bottom line. We continue to feel that this is the case. However, Q1 was slightly more challenging than anticipated and the trajectory change into Q2 is not materializing as originally projected. From a retail perspective, we continue to react to the constrained discretionary consumer and saw an increasingly promotional environment across most of our retail peers. Additionally, we had an especially pressured March as weather did not support our all-important [indiscernible] expectations. This is a peak holiday for seasonal product, a category in which we dominate and over penetrate. From a wholesale perspective, we met expectations, which were down to last year due to many of our retail partners assuming a conservative stance with near term inventory adjustments. Now let me provide a bit more detail on our financial results. For the first quarter sales decreased 10.7% to $742.1 million compared to 2022, primarily as a result of the aforementioned pressures on consumers, inventory tightening across the industry, and a highly promotional retail environment. For the quarter, total retail comps were down 10% on top of a strong 15% comp in the first quarter of 2022. U.S. retail comps specifically were down 12% for the quarter, driven by the same pressures. However, on a two year stacked basis, comps were up 2%. Canada had a strong quarter posting comps up 3% on top of a robust 41% comp gain last year. Finally, the performance of vincecamuto.com continued to be positive with comps up 8%, which was particularly noteworthy given last year's comp gain of 20%. Consolidated gross margin was 32% in the first quarter compared to 33.2% last year, a decrease of 120 basis points. While much of this decrease was planned given the work we had been doing since fall of last year rebuilding our clearance business, we also saw some deleverage in the quarter given the promotional environments and deleverage of our fixed store occupancy cost. More importantly, gross margin continues to be structurally more robust than pre pandemic with consolidated gross margins up 230 basis points compared to the first quarter of 2019. Our adjusted SG&A ratio for the first quarter was 28.9% of sales compared to 26.8% in the first quarter of 2022. Although we have deleveraged SG&A with a decrease in sales, we have recognized a significant cut in our expense base from 2022 as we continue to find opportunities to trim costs across the entire business. For the first quarter, adjusted operating profit was 3.5% of sales compared to 6.6% in the prior year. For the first quarter, we had $6.6 million of net interest expense and our effective tax rate on our adjusted results was 25.7% compared to 29.3% last year. Our first quarter adjusted net income was $14.3 million or $0.21 per diluted EPS versus $36.7 million or $0.48 last year. Turning to inventory, we ended the first quarter with inventories of $637.4 million compared to $672.5 million last year. On a retail square footage basis, we ended the quarter down 4% versus the first quarter of 2022. Wholesale inventories ended the first quarter up 15%, but adjusted for the acquisitions of Topo and Keds, inventory would have been down 27% to last year. As we manage through the uncertainties of this year, we feel good about our inventory position heading into the second quarter. We ended the quarter with $50.6 million of cash and our total liquidity, which includes cash and availability under our revolver was $250.9 million. As of the end of the quarter, we had $200.3 million available to draw on our revolving credit facility. As a reminder, we continue to await the receipt of our remaining $40 million of our CARES Act tax refund due to us from the IRS which we expect as soon as the standard audits of the applicable prior tax years conclude. Before I conclude, I want to share a few remarks on our updated guidance. As we discussed last quarter, our original guidance assumed a pullback in consumer spending through the first half of the year with a soft landing in the third quarter and a modest return to growth in the fourth quarter. With the first quarter performing slightly below our expectations and uncertainty continuing to linger, we believe that the recovery in consumer discretionary spending may be delayed. As a result, we are lowering our guidance. We have taken the appropriate steps to manage those factors under our control, including prudently managing our inventories and tightening up expenses across the board. As a result, the largest uncertainty lies squarely with the discretionary consumer. Accordingly, we are widening the range of our guidance to reflect this uncertainty and are now guiding to an adjusted EPS of $1.20 to $1.50 per share. As you might expect, sales in our U.S. retail segment remained the largest uncertainty for the balance of the year. In contemplating the high end of our guidance, we have taken into consideration the slightly slower start to the year that we experienced in Q1 and slower than anticipated start to the recovery in Q2. However, the top end of the range still assumes that the consumer returns to a more normalized buying patterns in the fall, that when coupled with increasingly easier comparables to last year result in a return to net sales growth in the fall versus last year. More specifically, this assumes sales at our US Retail segment down mid-single digits to last year and consolidated sales at Designer Brands excluding Keds are down mid-single digits as well. On the lower end of our guidance, we have assumed that the consumer doesn't recover as quickly. This would result in fall delivering slightly lower sales than last year, albeit still much improved comp performance over spring, given our newly elevated Nike relationship, opportunistic closeout buys we have secured, the extra week in the fiscal calendar, and easier comparables to last year than we experienced in the spring. The low end of our range assumes sales at our US retail segment down in the high single digits to last year, consolidated sales at Designer Brands, excluding Keds, also down in the high single digits to last year. I will now touch on the assumptions we've made for the other parts of our business within our guidance range. Regardless of the scenarios, within our Canadian retail business, we expect sales to be relatively flat to down low single digits to last year, given the continued post COVID recovery that geography in experiencing. Additionally, in our Brands segment, given the conservative posture with which we entered the year, we are not revising our guidance much. We now expect external wholesale excluding Keds to be down to fiscal 2022 by approximately 20% versus the down 15% to 20% in our original guidance, and we still anticipate our vincecamuto.com DTC site to be relatively flat to last year. As a reminder, we closed on the Keds acquisition at the beginning of the fiscal year. Since the acquisition, we are pleased to say that Keds has been delivering as expected, and we continue to expect Keds to add approximately $75 million to $85 million of net sales across multiple channels, including wholesale, DTC, International and Canada. As I noted previously, it should be highlighted that while we are excited about this acquisition and we'll recognize these incremental sales, we are not anticipating a material impact to profitability from these sales in the current year, as a result of costs and investments related to the integration process. With an estimated tax rate of 29.8%, and approximately $69 million weighted average shares for the year, we arrive at our revised EPS guidance range of $1.20 to $1.50 per share. All of the guidance just discussed excludes the impact of the anticipated Dutch auction tender offer that we announced earlier today and related debt raise, which I will now discuss. After thoughtful consideration and discussion with management and our Board of Directors, later today, we expect to launch a Dutch auction tender offer. We believe this represents a significant investment in our own stock that will allow us to efficiently and effectively increase value for our shareholders. We intend to offer to repurchase up to $100 million in value of our Class A common stock at a price between $7 and $8 per share under our existing share repurchase authorization. The repurchase is conditioned upon obtaining financing, which we look to finalize with $135 million term loan agreement prior to the expiration of the tender offer. The details of the anticipated tender offer can be found in the accompanying press release. As we navigate these uncertain and challenging times, we will continue to operate with a focus on growing value for our customers as well as an emphasis on managing our expense base and our inventory levels in both our retail and wholesale segments. I continue to be excited about the investments we have made in our brand portfolio, and I'm looking forward to continuing the momentum of these [indiscernible] acquisitions to support and diversify our revenue streams. With that, we will open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Jay Sole from UBS. Please go ahead.
Jay Sole: Great. Thank you so much. Maybe just to start off, I'm interested if you can elaborate a little bit on this elevation of partnership with Nike. Just maybe tell us a little bit about how it came together. And I think, before Nike was 6% of sales, maybe 7% of sales. I mean, are we are going to have a full reversal and go back to that level of sales with Nike and see if you can sort of give us some detail around that, that would be helpful. Thank you.
Doug Howe: Yes. Hey, Jay. Thanks for the questions. This is Doug. Obviously, we're very excited about the changes that the teams are making in the overall product portfolio. Elevating our relationship with Nike is obviously among them. It just really came -- they've been great partners. We've had ongoing dialogue for the past several months. And we're super excited to be able to bring that back across men's, women's, and kids. That'll happen in Q4. So kind of November available to customer. Again, they've been great partners. We're excited to be able to offer that across stores and digital. We'll thoughtfully with their partnership, build that business back. We're going to be focusing obviously on, like I said, men's, women's and kids. Big opportunity, I think, for both of us, just given our number three market share penetration in women's. On the customer, we'll woe that we'll continue to evolve our portfolio with them and other partners as well, but obviously, very excited about that.
Jay Sole: Got it. And then maybe just kind of follow-up on that. You talked about just -- you want to touch on the guidance a little bit. You mentioned that the trajectory change in the business that perhaps you've been anticipating for Q2 hasn't yet materialized. Can you just talk about you're seeing and sort of, like, what hasn't happened? And then maybe also talk about when you said there's an increasingly promotional environment, like, what categories are you seeing that in and sort of where are you noticing the most kind of increase in promotions?
Doug Howe: Yes. This is Doug again. Thanks, Jay. It's pretty equally spread across the categories to be honest with you. I mean, we're definitely seeing strength in buoyancy in the casual area. That casualization trend just continues. And men's, women's, kids all very, very similar, which to us really just points to she's being much more discretionary with their income. Right? And it's fairly broad based. I think the good news on that is we feel like there's parts of that that are in our control obviously when that rebounds. We're being very thoughtful about our promotions obviously to be able to manage through that. We've always been known for value, so we certainly want to lean into that as a core competency. But I think we're just seeing a little bit of tampered demand. We had a lot of reasons to believe as we move through the back half of the year. Teams have done an amazing job of rebalancing the inventory, both on the retail side and on the brand side, meaning, into that casualization. So feel really good about the work the teams are doing there. We're going to be launching an exciting fall marketing campaign, obviously, excited for the first time to be able to launch an owned brand in the athletic space with [indiscernible]. And then as we said, really excited about elevating our relationship with Nike as we move into the back half of the year.
Jay Sole: Got it. Okay. Thank you so much.
Operator: [Operator Instructions] There are no more questions in the queue. This concludes our question and answer session. I would like to turn the conference back over to Doug Howe for any closing remarks.
Doug Howe: Thank you. Well, hopefully, you heard through our remarks. Consistently, we are obviously focused on products. We're excited to continue to elevate our national brand portfolio through the relationship with Nike. As I said, we're looking forward to launching Le Tigre. First time we've launched a known brand in that athletic space in August of this year. And I'll just close where I began by thanking our team for their continued hard work and dedication. Also want to thank our amazing brand partners. And thanks to all of you for joining us today. And we look forward to updating you our progress next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.